Tom Greenwood: Hi, everyone, and welcome to the Helios Towers Q3 2024 Global Investor Call. I hope everyone is doing well, and thank you very much for your time today. So look, we're very much looking forward to giving you an update of our strong progress year-to-date, our FY '24 outlook, and a look into FY '25, which very much continues within our disciplined growth and capital allocation framework. So on page two, we've got the usual lineup of me, Tom, Manjit, and Chris. We'll cover the business strategic and financial highlights, and then the open for Q&A at the end. So moving now to Page 5. So the business continues to strongly move forward with now over 2,000 tenancy additions year-to-date, and a tenancy ratio of 2.04, making clear progress towards our 2.2 by 2026 target. And with the outperformance so far this year being driven from Tanzania and Oman, we continue to see strong demand across all three key drivers, being coverage gaps, capacity gaps, and 4G, 5G technology upgrades, as data consumption continues to increase exponentially. It's forecast that data consumption in Africa and Middle East will increase by four times by 2028, driven by the increasing access to smartphones and the behavioral shift towards streaming, lifestyle, social, and AI applications. Our laser focus on operational delivery in terms of site power uptime at 99.99% and speed of rollout means that we're able to continue supporting all our customers' needs of network quality and coverage to ensure the populations in our markets are served well for all their growing mobile communication demands. Our tenancy growth and tenancy ratio expansion continues to be the key driver for our financial metrics growth. Year-to-date EBITDA, up 16% year-on-year, ROIC up one percentage point to 13% and leverage down 0.3x. And in terms of our full year '24 guidance, we're expecting to end the year strongly with a touch above 2,400 tenancy additions, EBITDA coming in top of the range at around $420 million, representing a 14% year-over-year increase, leverage below 4x, and free cash flow neutral. The continued delivery on these metrics very much reflects our disciplined capital allocation policy, which is focused on equity value creation, high quality double digit enterprise growth, reducing leverage, and this year being the inflection point on free cash flow, turning the business from historically being high investment and negative free cash flow to being free cash flow generative from next year, whilst continuing with the high quality growth. And all of this being underpinned by $5.3 billion worth of future committed revenue, equated to just over seven years of remaining leases before renewals, which provides a business with a very strong base of which to grow. Now moving to Page 6, we see strong and consistent progression on all the key metrics here. As you can see, we expect tenancy additions momentum to continue at a similar rate to last year at around 2,400, with the majority of these being co-locations, thereby driving tenancy ratio up to the 2.04 that you see today. EBITDA growth this year of 14%, reflecting a $50 million increase in EBITDA this year, which is all organic. And this is actually 10% higher than the organic component of growth last year, which was $46 million, the balance last year being the inorganic growth from the Oman and Malawi acquisitions coming through for a full year. And finally, the EBITDA growth continues to drive ROIC upwards by around one percentage points this year, which now very much starts to be above our WACC to generate real value, consistent with this year being the free cash flow inflection point. Moving now to Page 7, where we see the progression and the execution of our strategic plans over the past few years and beyond. Following the expansion strategy in 2021 and '22, which saw high investment and negative free cash flow to double our platform, we see our organic strategy to drive tenancy ratio cash flow and returns really starting to deliver now, with tenancy ratio up 0.23x and ROIC up almost three percentage points since the end of our acquisition trail in 2022. Consequently, we see the negative free cash flow reversing from minus $700 million in 2022 to zero this year and growing thereafter, all pointing to increasing equity returns through continued ROIC expansion and leverage reduction as we continue with the momentum towards our 2.2 tenancy ratio by 2026. And on Page 8, we show our capital allocation framework very much being delivered and continuing into FY '25. Our key focus remains high quality and high returning organic growth characterized with tenancy ratio expansion each year towards our 2.2 by '26 target, double-digit EBITDA growth and ROIC expansion of one to two percentage points each year. We continue to focus on leverage reduction of around half a turn each year, which we'll see a sub-four this year and around three and a half by the end of 2025. By 2026, with another half turn of leverage reduction, we expect to be around 3x leverage, which opens the door for potential investor distributions at that point. M&A remains the lowest priority for us in our capital allocation framework, and although we continue to monitor the market, we don't expect anything material within this timeframe. So all in all, very much on track and disciplined in terms of our capital allocation framework, delivery against strategic objectives and drive for equity value creation. So with that, I'll hand over to Manjit and look forward to talking with you at the Q&A.
Manjit Dhillon: Thank you, Tom. And hello, everyone. It's great to be speaking with you all again. And starting on slide 10, I'll be going through the financial results. We continue the strong momentum from H1 into Q3, driving tenancy rollouts and lease-up, which resulted in progression against a number of financial and non-financial metrics as set out on this page. And I'll be drilling into that detail now over the next few slides. So moving on to slide number 11, our sites and tenancy growth. From a site perspective, we saw our sites grow 2% year-on-year, representing an incremental 223 sites, and 150 sites rolled out year-to-date. We are very selective in our approach to new site rollouts, ensuring that sites have clear potential for lease-up and try to partner with MNOs to identify and build in the most attractive locations. We will continue to allocate capital on site builds as they help to expand and intensify mobile networks, offer attractive returns, and build the base to which we can drive further lease-up. From a tenancy perspective, we added 2,397 tenancies year-on-year. That's a 9% increase driven by Oman, which has added over 800 tenancies alone, and Tanzania. Our tenancy ratio now is 2.084x, and that is tracking very well to our 2.2 tenancy ratio target by 2026, following a 0.14x tenancy ratio expansion year-on-year. Moving on to Slide 12. We've seen revenue and EBITDA growth predominantly driven by tenancy additions, which I've just spoken about, and we've seen revenue growth of 6% and EBITDA growth of 11% year-on-year, with Middle East and North Africa and Central and Southern Africa delivering year-on-year EBITDA growth of 31% and 19%, respectively. Our EBITDA margin increased by 2 percentage points to 54%, again, predominantly driven by co-location lease-up and operational improvements, and also due to Oman, a high margin market growing fastest. On to Slide 13, and here we present the usual analysis, showing the key drivers of revenue and EBITDA growth in more detail. As with previous results presentations, the key driver of growth has been tenancy additions, with the escalators effectively working to offset macro movements to protect our EBITDA on a dollar basis. This is shown clearly on the two bridges presented here, with Power, CPI, and FX broadly offsetting one another to ensure growth is being driven predominantly by tenancy additions and operational improvement. 6% revenue growth from organic tenancy additions drove 6% revenue growth year-on-year, 9% EBITDA growth from tenancy additions being the predominant driver of 11% EBITDA growth year-on-year. In short, the analysis here continues to demonstrate that our business continues to operate as designed. Moving on to Slide 14, CapEx is tightly controlled and focused on capital efficient opportunities that drive ROIC [ph] expansion. In the first nine months of 2024, we incurred total CapEx of $113 million, which is primarily made up of $59 million growth CapEx reflecting the strong and consistent tenancy growth we've seen this year, and $31 million of non-discretionary CapEx. In terms of guidance, while we've increased our tenancy guidance by 20% from the midpoint, we've only marginally increased our CapEx guidance from the range of $155 million to $190 million, now to $170 million to $180 million. And this reflects the higher proportion of co-locations coming through, which have highly attractive returns. For non-discretionary CapEx, there is no change to fulfill your expectations, and guidance remained consistent at $45 million. On to Slide 15, looking at our leverage and debt. Our net leverage at the end of Q3 decreased by 0.3x year-on-year to 4.2x. Leverage has remained consistent quarter-on-quarter at 4.2, and this is mainly due to timing of cash receipts. Generally, Q1 and Q3 are quarters where we do often see receipts straddle period ends. However, we continue to guide to leverage reducing to sub-four by the end of the year. We have approximately $255 million of undrawn facilities at both group and opco levels, and together with $115 million of cash on balance sheet means we have roughly around $370 million of available funds.About 50% of our cash on balance sheet is held at group, with the remainder spread amongst the opcos for CapEx and working capital purposes. Finally, as a reminder, 92% of our debt is at fixed rates following our successful bond refinance earlier in the year, and we have no near-term maturities until 2027. And finally, moving on to Slide 16, our guidance. Both Tom and I have gone through the main changes during the presentation, but to quickly run through the details. As we continue to see progress in our 2.2x strategy by '26, we increase our guidance on tenancy additions from 1,900 to 2,100 to now 2,400 tenancy additions. For adjusted EBITDA, we expect that to be broadly $420 million in that range, coming at the top end of our prior guidance range. We also guide portfolio free cash flow to land at the top range of our prior guidance at around $290 million. For CapEx, we've tightened upwards the range marginally to $170 to $180 million. Finally, there is no change to our expectation to reducing net leverage to below 4x and free cash flow to become neutral by the end of the year. All-in-all, I'm really pleased with the results so far this year, reflecting the efforts of our fantastic colleagues. Whilst we're just two months away from the end of the year, we remain focused on executing the rest of the 2024 plan and gear up for what looks to be another good year for Helios 2025. With that, I'll pass back to Tom to wrap up.
Tom Greenwood: Thanks very much, Manjit. For Page 17, just to wrap up again, we're seeing consistent strong tenancy additions coming through with over 2,000 year-to-dates in around 2,400 last 12 months. This continuing to drive double-digit EBITDA growth and ROIC expansion. We've reiterated guidance and clarified EBITDA guidance at the top end of the range of $420 for the end of this year. I'm very much looking forward to delivering FY '25 very much in the focused range of our capital allocation policy as previously stated. So, with that, I'll hand back to Ida for the Q&A.
Operator: Thank you. [Operator Instructions]. We have our first question from Graham Hunt from Jefferies. Please go ahead.
Graham Hunt: Yes. Thanks very much. I've got three questions. First one is just on cash flow. Firstly, in Q3, I think there were some working capital outflows. Could you just help us understand what drove that? And then if I think about the full year, I think your guidance implies some cash inflow into the year end to meet your leverage target. So, just trying to understand that bridge between current net debt and the net debt that you're seeing at the end of the year? Second question, just on the DRC. Are you seeing any change from your MNOs that could signal a move away from U.S. dollar? Just been seeing some headlines from Central Bank trying to push more use of the Congolese Francs. So, just trying to get a sense of what you're seeing there. And then similarly on FX in Tanzania, can you just give us a quick update on what you're seeing in terms of your USD availability there? Thank you.
Manjit Dhillon: Sure. I'll take those. Thank you very much, Graham. So, on the first one, on free cash outflow. So, so far, year-to-date, up to Q3, we had seen a free cash flow outflow of about $20 million. And that's predominantly driven by working capital, as I kind of mentioned earlier. You do often find that in Q1, Q3, receipts can straddle period ends. As it stands today, having closed or in the process of closing books for October, we are now free cash flow neutral. So, that has reversed. So, it really is just a timing issue as it comes through. So, on that basis, we're in a good place. And in terms of hitting our average target, yes, what you will probably see is a little bit of free cash flow accretion is what we're expecting at least when we were in Q3. So you will expect a Q4 positive free cash flow, which had to be the case given that we were in a negative year-to-date. And EBITDA landing broadly we've guided to. And I'll take both DRC and Tanzania FX points in one really. So, in DRC, we're not seeing any changes in terms of that FX mix. I mean, we're still seeing actually the majority of deposits in that market being in dollars. So, for us, we still view that as being a dollarized market. So, no change there. And in terms of Tanzania, we're actually seeing more availability actually in terms of dollars from our side. We've actually never had a problem getting our hands on liquid currencies in that market. We've been always moving up funds very, very regularly. So, I'd say that's no change on either front there.
Graham Hunt: Thanks, Manjit. Thanks.
Manjit Dhillon: Thanks.
Operator: Our next question comes from Emmet Kelly from Morgan Stanley. Please go ahead.
Emmet Kelly: Oh, yes. Hey, good morning, everybody. So, I just had a question, please, on the 2025 guidance. Manjit, you highlighted many times how there's a high correlation between the numbers of tenancies and EBITDA growth. So, I think we have tenancy growth of 9% driving EBITDA growth of 11%. If I look at the guidance for 2025, it looks like, if you look at the tenancies, you're looking at the tenancy ratio going from 2.1 up to 2.2. So, suggest about 5% growth in tenancies. But the EBITDA growth guidance suggests something a bit better because you're looking at, I think, over 10% EBITDA growth. Could you maybe just say a few comments, please, on the bridge between that tenancy growth and the EBITDA growth for next year? And just secondly, Tom, just a question on M&A. How should we think about M&A, we'd say, in 2026, when you reach your target of three turns of leverage? Would you be more open to M&A at that point? Or do you think shareholder returns remain the kind of priority, either through buybacks or dividends? Thank you.
Manjit Dhillon: Thanks, Emmett. Yes, I'll do the first one and I'll hand it over to Tom. So, in terms of guidance, when you have the bridge that we showed, that's actually more the impact from a dollar basis. So, when we look at the organic tenancy growth and how that translates to EBITDA, that's the dollar impact of that. Now, if you're looking purely at the tenancy movement versus EBITDA movement, it's never going to be exactly one-to-one. And that's mainly due to the fact that different tenancies have different contributions. So, to give you an example, Oman will have a lower revenue per tenant by a quite high margin. But if you were comparing a Moni [ph] tenancy versus a DRC tenancy, you'll have more of an EBITDA impact just from a quantum perspective, given that you get a higher revenue per tenant. So, really, when we're looking at 2025, what we will see is a combination of that organic tenancy growth perhaps being broadly split amongst the three big markets, but also a combination of operational improvements as well. The final part being that you're also going to see the majority of our tenancies, we expect, being co-locations. And again, that has an EBITDA benefit too. So, those are the broad key moving parts. So, one is the mix. Second one is going to be the operational improvement. And the third one is the mix of sites versus colos being predominantly colos. So, that's why you do see a slight decoupling between the tenancies and the EBITDA growth.
Tom Greenwood: Yes. Hey, Emmett. Tom here. And actually, just the numbers on your question, Emmett, regarding the tenancy ratio. Within the tenancy ratio, there's some co-locations, but also some built-to-suits. So, actually, it's not implying a 5% tenancy increase. It would be more than that, assuming there are built-to-suits in those numbers, which there are. So, yes, I think we're looking at a pretty strong pipeline for next year as we stand and look forward to continuing to live at similar momentum, I would say, as the past couple of years. And yes, on the M&A question and looking a bit further out, FY '26, at which point we expect to have reached 2.2 on the tenancy ratio. And that feeds down through the P&L and into the cash flow for being cash flow generative and leverage being at around 3x. I think at that point, very much so, that puts us in the frame for potential investor distributions at that point. And as any board or management team would need to do, is to weigh up the value creation opportunities at that time. But I think very much so, we're targeting continued organic growth. And we will continue to assess the M&A opportunities. But they would have to be very creative from a value perspective. And I think the reality is the organic growth in our markets, given all of the mega trends which are continuing for many, many years ahead, the organic growth is going to continue. And that provides a very strong cash flow and therefore the ability to do some investor distributions at that time.
Emmet Kelly: Great. Thank you very much.
Tom Greenwood: Thanks Emmet.
Operator: [Operator Instructions]. Our next question is from Rohit Modi from Citi Canada. Please go ahead.
Rohit Modi: Thank you so much, guys. Three from my side. Firstly, I understand there's a lot of focus on tenancy additions, but if you can give any color on what is your pipeline around site additions, how do you look at the demand from operators in terms of adding more anchor tenant sites on your geographies. Secondly, there has been a couple of news flows around network sharing in some of your markets. I don't think there is any concrete agreement as of now, but there has been some news flow around network sharing. How do you look at it? If any of the operators goes for a network sharing, will you receive any kind of network sharing fee or how do you look at the impact for you from network sharing on your footprint? And thirdly, I think the threshold for leverage has been four times earlier. Now, given you're already guided, anything you look at in 2026, I'm just trying to understand why not 2025 given you're already within your leverage guidance in 2025. That's okay, I think 3.5. Why not looking at it in 2025 and extending it to 2026?
Manjit Dhillon: Thanks, Mohit. Do you want to say the first, Tom?
Tom Greenwood: Yes. Hey, Rohit. Thank you, Tom. I'll take the first couple. The pipeline for anchor tenants or built-in suits versus colos. Look, I think in general, the pipeline is reasonably strong. Clearly, 2024 is close to being finished. Our teams and our customer teams are very much now planning 2025. For this point in time, we're seeing a strong order book and a strong potential order book to come in. So I think we're feeling in a reasonably strong place there and not to expect the momentum of the past couple of years to continue as we move into next year and, of course, into the year after FY '26 as well. And getting to that 2.2x tenancy ratio by that point, which is our headline strategic target, we're making good moves towards that, I would say. And on network sharing, it's relatively uncommon. It can be done. As is industry standard, there are fees that the Telco infrastructure provider would collect if that were to be done. But it's something that we don't see too much of at all.
Manjit Dhillon: And I'll take the third one, which you were kind of breaking up a little bit for us, but I think it was based on why you get leverage down to three before you start making investor disbursements. Or at least I'll answer that question. You can stop me if I've got the wrong one. In our perspective, even if we get to say 3.5 at the end of next year, generally outside of the M&A cycles, we've actually been normally between 3 to 3.5. I do think that given our trajectory, it's better to be closer to three at the moment before we start doing a sustainable dividend there afterwards or however we choose to do investor disbursements. So I think our general focus here is continue on the track that we've got. As we start to get towards that point, then we'll start to give more guidance out to the markets in terms of our thinking. But I think the positive element to this is that we are seeing our capital allocation priorities really come through the numbers. You've seen it now for the last couple of years and you'll continue to see it next year. So we are progressing well on the plan.
Rohit Modi: Thank you. That was my question. Thank you.
Operator: We currently have no further questions. I will now hand over to Tom. Thank you.
Tom Greenwood: Well, thank you very much for everyone dialing in today and thanks for everyone asking the questions. We really appreciate it. As always, please get in contact with us if you have any follow-up. We're always happy and keen to jump on a call or meet with you. And other than that, we look forward to seeing you all soon either at a conference or at our full year FY '24 reporting, which will be in March. So very much look forward to talking with everyone, either then or beforehand. Take care and have a great day.